Operator: Good day, ladies and gentlemen, and welcome to Universal Display's Fourth Quarter and Full Year 2015 Earnings Conference Call. My name is Sara and I will be your conference operator for today's call. As a reminder this conference call is being recorded for replay purposes. And I would now like to turn the call over to Darice Liu, Director of Investor Relations. Please go ahead.
Darice Liu: Thank you, Sara, and good afternoon, everyone. Welcome to Universal Display's fourth quarter earnings conference call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Sid Rosenblatt, Executive Vice President and Chief Financial Officer. Before Steve begins, let me remind you that today's call is the property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, this call is being webcast live and will be made available for a period of time on Universal Display's Web site. The call contains time sensitive information that is accurate only as of the date of the live webcast of this call, February 25, 2016. All statements in this conference call that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, such as those relating to Universal Display Corporation's technologies and potential application of those technologies, the Company's expected results as well as the growth of the OLED market and the Company's opportunities in that market. These include but are not limited to, statements regarding Universal Display's beliefs, expectations, hopes, or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display's actual results to differ from those projected. These risks and uncertainties are discussed in the Company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the Company's securities. Universal Display disclaims any obligation to update any of these statements. Now, I'd like to turn the call over to Steve Abramson.
Steve Abramson: Thanks Darice, and welcome to everyone on today's call. Let's begin with our fourth quarter 2015 results. Revenues were less-than-anticipated, primarily due to year-end inventory management by our customers and product mix weighing more towards our lower priced emitters. As we have noted in the past, while short-term forecasting in this emerging market environment is difficult, it is clear that OLEDs are long-term growth market. We believe that in 2016 panel makers are in a capacity build mode. As these capacity builds come online we see substantial growth momentum for 2017 and beyond. We believe 2017 revenues can grow significantly based on new production capacity growth of at least 50% from 2015. As noted by a number of companies in the ecosystem, from equipment makers to OEMs the OLED design pipeline is growing robustly, and that is driving new capacity for 2017, 2018 and beyond. As a key enabler and partner in the OLED industry, these additional capacity plans bring new revenue opportunities for us, and overall, a positive growth trajectory for years to come. Reflecting on 2015, revenues were flat year-over-year at $191 million. Non-GAAP net income excluding the impact of the second quarter inventory write-down was $44.9 million. Our commercial emitter business grew 16% and our royalty and licensing revenues increased by 23%. We also generated a $114 million of cash from operations. It was a year filled with significant growth milestones. For Universal Display and for the OLED industry, we signed new agreement as activity in our customer pipeline grew. This includes a long-term license agreement with LG Display, OLEDWorks and Sumitomo Chemical. 2015 also marked the number of OLED industry curves. It was a year that the first Gen-6 OLED pad, Samsung’s 83 plan commenced operations, it was also the year that LG Display began to ramp its first commercial volume OLED TV production line and announced plans for the first OLED mega pad and it was the year that BOE program on the first LTPS OLED Greenfield plan started. 2015 also ushered in a multitude of first time OLED adopters, from the Apple Watch to leading smartphone makers Huawei, Meizu, OnePlus and a plethora of other OEMs adopting OLED for their smartphones, to Panasonic and Skyworks introducing their first commercial OLED TV into the marketplace. Looking ahead 2016 is poised to be a meaningful year of building, building significant capacity for the future of OLED adoption, building product roadmap for new market applications, new OEMs and new consumer adoptees. With new production capacity lead times usually in excess of 12 months, leading panel manufacturers are currently building a framework for the next phase of expansion, in high volume OLED production to begin ramping in 2017. LG Display has made a number of capacity announcements including Gen 6 line for flexible mobile displays with a CapEx of approximately $800 million for initial phase of 7,500 plates per month slated to begin mass production in the first half of 2017. LG also announced plan to invest approximately $700 million to increase its Gen 8 OLED TV capacity by over 40% to 60,000 plates per month in the first half of 2017. LG's biggest capacity announcement was made in late November for its $8.5 billion plus mega pad [Dell] P10. Expected to cover an area of 14 football fields, construction of the plant alone is projected to cost $1.5 billion, this mega pad is expected to produce OLED TVs and flexible OLED panels beginning in the first half of 2018. Samsung forecasted in 2016 that it will maintain a high rate of operations and profitability from its OLED business. This will be driven by new product launches in automotive, transparent mirror and IT as well as expanding its customer base. Speaking of product launches, earlier this week at Mobile World Congress, Samsung Electronics unveiled its new flagship smartphones, the sleek [indiscernible] S7 and S7 Edge. Joining Samsung with them was Mark Zuckerberg. The Facebook CEO discussed the importance of OLEDs for virtual reality and stated, virtual reality is the next platform where anyone can create experience anything they want. Well right now it's especially used for gaming, that's quickly evolving. Samsung is the only company that can deliver at scale the low persistent OLED screens to give a good comfortable VR experience. And he concluded that that is because these OLED screens are the only screens that can update faster than your eye. No other screen and displayer company can deliver this experience. BOE's Gen 6 LTPS/AMO-LED fab which has a design capacity of 45,000 plates per month and involved total investment of approximately $3.4 billion is expected to commence operations in the first half of 2017. AUO continues to grow its OLED portfolio with a focus on virtual reality automotive and wearables while Innolux continues R&D work on flexible OLED panels. And Japan Display announced last month that it'll begin mass production of OLED panels in 2018. What is driving all of this activity? In ever expanding OLED product roadmap that includes smartphones, tablets, wearables, virtual reality TV and we can now add OLED laptops, and OLED monitors to that commercial product list. Just last month at CES we saw a number of notebook manufacturers. Specifically with Lenovo, Dell [indiscernible], HP and Samsung, all of whom have magnificent looking OLED enabled, premium local phone display. Also at CES was LG's awesome 18 inch rollable OLED TV. Now which is thinner and laser flexible OLEDs are also ramping to create differentiated products from the rigid norms. Market research IHS noted that flexible AMOLED panels rose to 20% of the total AMOLED display market in 2015 reaching 57 million units, up from 2% of the market in 2014. On the OLED TV front, LG Electronics noted at Mobile World Congress that it believes its OLED TV shipments could triple to 1 million units this year. Adding to the OLED TV momentum is TP Vision, who is responsible for selling Philips TVs in Europe, last week they announced plans to launch their first OLED TV later this year. The consumer OLED landscape has expanded and with OLED panel pricing become more competitive with LCDs we expect the proliferation of OLEDs in the marketplace to accelerate. On a solid state lighting front, automotive OLED tail lights displays entered the commercial market for the first time this year, both the 2016 [LETP] RS group and BMW's concept M4 GTS are expected to have OLED tail lights. In addition to tail lights, automotive companies are looking to design OLED lighting panel and break light [indiscernible], with all the benefits of OLED we believe that this is just a beginning of the commercialization of the OLED lighting market. The future of OLED is bright, to drive by our customers to build capacity for the next wave of high volume OLED production which is slate to begin the ramping in 2017 and advancing R&D work to further commercialize OLED technology into broader markets and applications is creating substantial long-term momentum for the OLED industry and for us. Now let me turn the call over to Sid.
Sid Rosenblatt: Thank you Steve and again thank you everyone for joining our call today. Revenues for 2015 were 191 million flat year-over-year, royalty and license fees were $78 million up 23% from 2014, $63 million. Material sales were $113 million down 11% from $127 million in 2014. This mainly is down from commercial host sales declining by $26 million. Commercial emitter sales were 16% to a new record level of $91 million from 2014 $78 million. The breakdown of commercial material sales by color for 2015 compare to 2014. Red emitter sales in 2015 were $27.3 million, up 50% from 2014 $18.2 million. Re-emitter sale which includes our yellow green in 2015 were $64 million, up 6% from 2014 $60.3 million. Green host sales of 2015 were $8.8 million, down 75% from 2014 $34.6 million. 2015 operating expense excluding cost of materials was $96 million, up 5% from $91 million in 2014. Operating income was $33.3 million excluding the inventory write-down of $33 million. Non-GAAP operating was $65.3 million for 2015, up 11% from $58.6 million in 2014. Net income was $14.7 million or $0.31 per share. Non-GAAP get income was $44.8 million or $0.94 per share compared to $41.9 million or $0.90 per share for 2014 year. For the year, we generated an impressive $114 billion in cash from operations. Moving to the quarter, revenues for the fourth quarter 2015 reached to $62.3 million, compared to fourth quarter 2014 revenues of $56.2 million. Royalty and license fees were $34.4 million which included Samsung's $30 million license fee. The Samsung license fee which was $60 million in 2016 is recognized in the second and fourth quarter of the year. Total material sales were $27.8 in the fourth quarter of which commercial was $23.6. Material costs for the fourth quarter were $8.1 million, down year-over-year from the fourth quarter 2014 $12.1. The decrease was primarily due to lower host sales. Material gross margin percentage was 71% for the quarter. Fourth quarter operating expense excluding cost of materials was $27.6 million, up from last quarter's $23.8 million but flat year-over-year from the comparable quarters $27 million. The sequential increase is mainly attributable to timing of R&D projects and compensation accruals. Operating income was $26.6 million for the fourth quarter of 2015, compared to $17.1 million for the fourth quarter of 2014. Net income for the fourth quarter was $18.1 million or $0.39 per share. Shifting to the balance sheet, in the fourth quarter we generated $33 million of cash from and built our cash position to $396 million or over $8.40 of cash per share. Now looking to 2016, in 2015, we expect our licensing, royalty and emitter revenues to grow. As Steve noted, we do not see a significant measure of new manufacturing line commencing operations in 2016. As a result, we expect our 2016 revenues to be up 15% year-over-year or approximately 220 million plus or minus 5%. We expect growth of the growth to occur in the second half of the year. Our revenue guidance includes Samsung's license fee which is $75 million, which will be recognized in equal installments in the second half and fourth quarter of the year. We would note as we have in the past, as shift in industry momentum in either direction can impact our financial results. Overall 2016 gross margins are expected to be consistent with last year. OpEx excluding cost of materials is expected to increase 10% to 15% year-over-year primarily driven by R&D. We expect the effective tax rate to be approximately 34% give or take a few basis points. 2016 is expected to be a year of significant OLED capacity expenditures and product roadmap builds. This groundwork is paving the foundation for the next generation next expansion wave of our high volume OLED production set to commence ramping in 2017. Our position in the OLED ecosystem is exceedingly strong. We are investing heavily in our research and development programs to meet our customer’s future needs with innovative and cost effective solutions. We are continuing on the right path for long-term growth, long-term profitability and long-term market leadership. With that, let me turn the discussion back to Steve.
Steve Abramson: Thanks Sid. We’re working closely with our customers as they map out their product offerings for the coming years. We are inventing new and next generation [indiscernible] in emitters and hosts to meet new product specs and expand our material business. We’re also developing new OLED technologies to enhance our IP licensing portfolio. These combined efforts are further strengthening our leadership position as a key partner in the OLED ecosystem. All of this is possible due to world class talent within Universal Display. I would like to take a moment to than our employees for their continued commitment, excellence and innovation. I would also like to recognize customers, partners and valued shareholders for their continued support. In summary, the OLED industry gaining extraordinary momentum and so are we. We are excited about the substantial opportunities that lie ahead as widescreen adaption of OLED continues to advance, from phones to TVs, laptops, tablets, monitor smartwatches, virtual reality, the signage and automotive display and lighting applications to product that the imagination has yet to create with flexible rollable and foldable displays. The world of OLED is limitless. And on that note, operator, let's start the Q&A.
Operator: Thank you, Mr. Abramson. [Operator Instructions] We do ask that you please limit yourself to one question and follow-up question today. [Operator Instructions] We’ll hear first from Jim Ricchiuti at Needham & Company.
Jim Ricchiuti: Now China reconciles the, what looks like fairly strong growth in red in meter revenues in Q4 and a decline in the green in Q4 I don’t know if those numbers are right. I mean this is the percentage you’re going through it. But is that in the ballpark that you saw pretty healthy growth in red for Q4 but a decline in green in Q4?
Steve Abramson: That’s correct Jim. There are a number of variables that impact material consumption and can impact each emitter differently, factors include the recipes whether they are using newer or older emitters, doping percentage, efficiencies in manufacturing and processing, the stack structure composition including the corresponding common layers whether it is full production or pilot production, production requirements and inventory management, changes can occur and they can be gradual and sometimes a step level change in either direction. So there are a lot of moving parts in determining why these things are not growing at the same rate.
Jim Ricchiuti: With respect to your guidance for 2016, are there any volume price grades we need to be aware of this year as it relates to your two large customers?
Steve Abramson: Well, as you are aware we’re always seeing -- we’re dealing with two of the largest companies in the world and there is always pricing pressure. We don’t provide information on price breaks and price discounts but there clearly are going to be some. We’re constantly in discussion with our customers and we’re working to get the material they want and try to ensure that we can maintain our profitability. So we look for a win-win.
Operator: Our next question will come from Brian Lee with Goldman Sachs.
Brian Lee: I had a couple of them, just maybe as a follow up to Jim’s. Sid did pricing discounts whether at Samsung or LG play into the margins this quarter on the material side?
Sid Rosenblatt: It's more of the mix of products it's a product mix issue in this quarter in Q4.
Brian Lee: Well I guess a follow-up to that then would be if I look at the margins they were down about 800 basis points sequentially. If we assume that gross margins were flattish. I know you mentioned the mix. But can you give us a better sense for exactly what happened in terms of mix? I didn’t realized there could be such a wide band of margins from one emitter type to the next?
Sid Rosenblatt: When we introduced new higher performance emitter they as we scale them up we actually charge more in the beginning with some and we scale them up. But we are intent to try to maintain our gross margins in 2016 similar to what we had in 2015.
Brian Lee: Last one from me and I'll pass it on, the inventory adjustment at the customers that you mentioned as being one of the drivers for the shortfall and revenue expectations was that more on the smartphone side or is it more on TVs and then a follow-up to that with just the -- how much of that would give you or say was driven by an actual slowdown in end product demand versus customers maybe having deliberately forward bought materials in Q3?
Sid Rosenblatt: It is pretty much slower across the board, it wasn't just one customer, and I'm not so sure that we can answer whether it was driven by product and product demand but it's pretty clear that at year end there was a lot of inventory management being done.
Operator: Moving next to Jed Dorsheimer of Canaccord Genuity.
Jed Dorsheimer: I guess first just a follow up to the previous two analysts who were asking questions, Sid Samsung or one of your customers in the hands of other things, is recently switched from their recipe to M7 to the M8 structure and I'm curious with respect to mix, is this a function of a was it a greater function of switching recipe or was it the same recipe and then just the work down or end of light of those consumers?
Sid Rosenblatt: Listen Jack we really can't comment on exactly what it was I mean that's up to our customers and to be honest it's not something that we get a lot of detail about.
Jed Dorsheimer: So, I guess the reason, I respect that, but it seems that if it's somewhat important to just try and better understand the dynamics, if there were frankly speaking to be a product change in one of your customers should we then expect at the beginning of the year that that you'll be introducing higher end products thus having higher margins and as the year continues the margin structure would be similar to what we saw this year with this [D8] sort of how we should see the next couple of years from here?
Sid Rosenblatt: We can't determine, we introduce new high performance materials to our customers all the time, when they adopted is really up to them, but what we feel and what we stated is we expect the margin profile for 2016 to be similar to 2015. So, we don't expect to see big changes in our margins.
Jed Dorsheimer: And have your customers ever adopted new materials without changing the structure? In other words the high performance products are usually adopted when there is a structure change, at least best of my understanding if you've seen them adopt new materials without changing their recipe in these Midwest [indiscernible] I would think that'd be disastrous from a yield perspective, so I'm just curious?
Sid Rosenblatt: I mean we really can't answer that I mean that's a question for them.
Jed Dorsheimer: And then just moving over to the cosmic side of things, it looks like in the 10-K, the European patent I guess the counter party to the 828 it looks like that while you're appealing that the claims went against you where the ruling went against you in that, any further comments on that situation and how we should read into that?
Sid Rosenblatt: Well Jed in the fourth quarter there was one opposition decision relating to one of our white fostress OLEDs technologies and we did not win at the lower court so we're going to appeal as you know the appeal of court is in Genova decision and they reconsidered from the beginning and the patent is deemed valid during dependency of the appeal, this [indiscernible] one of our white OLED pad.
Operator: Our next question will come from Srini Sundar of Summit Research.
Srini Sundar: Given that you have somewhat of a history of such revenue surprises, would you be putting some controls into place given the nature of your business and the fact the customers frequently either under order or over order?
Sid Rosenblatt: I'm not sure if we understood a part of the question, I apologize.
Srini Sundar: Okay yes I think all I'm asking is that in terms of your guidance on such shortfalls sometimes seem common and would we have a better history of smoothing those out?
Sid Rosenblatt: Well, when we look at our guidance and we look forward I mean as we do the best we can with the information that we have and sometimes things are that are out of our control, it's difficult to predict this market and sometimes there are shortfalls from quarter-to-quarter it's really difficult based upon customer ordering patterns and what we ship in each quarter. I think for the year we're pretty comfortable with where we're and customer shortfall or customer inventory management should have a big impact on us over a 12-month period.
Srini Sundar: Okay, and could you, can you give me some color on the utilization in your customer fab in Q3 and Q4 of last year of 2015?
Sid Rosenblatt: We really, I don’t want to avoid your question, but we can't comment on what our customers do in their fabs. I mean, there are reported reports on what capacity levels are at, but the utilization levels are things that they don't report.
Srini Sundar: One last question, given that oil prices are lower and eventually your organometallics must be coming from petrochemicals, would you have a lower cost basis going forward given the current oil prices?
Sid Rosenblatt: Well, that will be good, if it happened, our costs are not principally derived from petrochemical industry even though a number our organic materials do come from the petrochemical industry that's not where some of the primary costs are.
Srini Sundar: And there would be some the metals?
Sid Rosenblatt: Yes.
Operator: We'll move next to James [indiscernible] with Cowen and Company.
Unidentified Analyst: So thinking about the tax rate, the 35% tax rate you've guided for next year that seemed a little higher than we had been thinking about, what is the [indiscernible] and how many years would you expect that to pursue?
Steve Abramson: Our tax rate is one that we do have a business in Ireland and it really over the first two years when we set it up it takes some time to see long-term tax benefits initially. We believe over the long-term we will see significant tax benefits going forward in ’17, ’18 and beyond, we should see lower tax rates than this. It really depends on where our sales grow whether it's material or licensing fees.
Unidentified Analyst: So just to press that a little further, could we see them back into mid to high 20s?
Steve Abramson: In the future?
Unidentified Analyst: In coming two to three years.
Steve Abramson: Yes, yes okay
Unidentified Analyst: And then on the yearend inventory management at the customers, I know you have a lot of visibility into that sort of how that inventory is actually being managed, but is there a chance where they may have reduced inventories too not should we get snap back in Q1 the likelihood of something like that?
Steve Abramson: It's difficult for us to predict. We do know that there at year end and quarter end everybody manages their inventory purchases to try to be as efficient as possible. I think it's more related as demand increases we will see more sales.
Unidentified Analyst: And on gross margins they do seem pretty light, I understand that it was a mix issue in terms of maybe older products versus new ones on the emitter side, how is that trending so for in this quarter Q1 here?
Steve Abramson: For Q1?
Unidentified Analyst: Yes.
Steve Abramson: We really can't comment on Q1.
Unidentified Analyst: Well it is usually in a bigger picture kind of a way is are these to do a couple margin rates or do you think the mix will shift back?
Steve Abramson: Emitter gross margins have historically been in the 70% to 80% range and we've stated that we expect the margin profit to be the same.
Unidentified Analyst: And final question for me is on the non-Samsung license fee business, is there any, that's ticking along at a fairly constant level give or take, how should we think about that in the future, I mean, with that some other big customers that may come on board or do we?
Steve Abramson: Well, as we stated last year while we signed the royalty, the license agreement with LG, we all are going to -- we did not report any fourth quarter sales for 2014, in 2015, so if you listen to what LG has said where most half of their TV sales are going to be Q4 and we will report that in our Q1 results.
Operator: [Operator Instructions] We will hear next from Austin Fernandez of Cross Research.
Austin Fernandez: Just to start, could you perhaps provide some color in terms of how you are thinking about how you plan on scaling your margins even if the mix of your sales sort of changes and what are different things about that makes your fourth quarter even the mix [indiscernible] I guess just want to say the -- thinking about [indiscernible] you have certain customers like [indiscernible] expansion in selling more displays into lower end devices going forward [indiscernible] I assume that increased the volume that [indiscernible] on a longer term perspective I mean do you [indiscernible] with margins given the mix of [indiscernible], shifting your mix?
Steve Abramson: Well, we, as volumes grow, we see efficiencies in our manufacturing process. We also are constantly working to get our cost down and to be honest there some of them through to our customers we have been able to maintain our margin profile over the past four years. And we fully expect to continue to maintain these by manufacturing efficiencies us coming up with manufacturing methods that reduce our cost and as we introduce new and higher performing materials we will then see different pricing and we work through the same process. So that we can pass on efficiencies to our customers but still maintain our margins.
Austin Fernandez: And then in that same lane are you -- could you [indiscernible] whether your facility how prepared your facility is let's say in the next phase that is new coming [indiscernible] in 2017, what would it be [indiscernible]?
Sid Rosenblatt: As we stated last year that we’re at PPG industries and we’ve built the second facility Barberton, Ohio and that was built with us anticipating significant growth over the next we look out through the five years. And so we believe that we are poised to meet all the needs that we see over the foreseeable future. And as Steve stated in his call in his comments that we do expect to see significant growth in 2017 and significant capacity and we will be ready willing and able to deliver the materials.
Austin Fernandez: So with that acquiring any sort of larger than on the start up costs [indiscernible] at the end of maybe 2016 early ’17?
Sid Rosenblatt: We constantly are looking at our capacity we’re constantly looking at adding new capacities. As you’ve seen historically though, we are -- our CapEx for are we’re working with PPG is not a number that is a huge number, because we do -- PPG is our exclusive supplier we buy the materials, we don’t have to spend all the money on the facilities.
Operator: Our next question is from Hendi Susanto of Gabelli and Company.
Hendi Susanto: Steve and Sid, as we anticipate new capacity build in 2016 and 2017, should we anticipate new capacity to adopt one emitter material initially or they may jump into both red and green emitter material right away?
Sid Rosenblatt: Hendi it depends on the customer, and it depends on the product, sometimes it may adopt red and green, sometimes it may just be red initially.
Hendi Susanto: And then in terms of the capacity configuration, do you foresee them to make it easy to add the second color right away or the configuration may require them to spend some time if they want to equip?
Sid Rosenblatt: I would think in general our customers realize that in order to compete you need to have phosphorus and the more phosphorus it colours the better. So I think that as they build capacity they have that in mind.
Hendi Susanto: And then I saw that development in the field sales show some increased load sequentially and year-over-year. Can you share some insight on that?
Sid Rosenblatt: Development materials are ones that are early scale up materials we send a lot of materials to our customers that they evaluate we work directly with our customers, they give us some new specifications or they tell us they’d like the materials to do this or do that. And we are constantly developing new materials, which ones yet fully commercialized really depends upon if our customer wants them or not. But we really do customize what we do to meet our customer needs.
Hendi Susanto: And then Sid with regards to the lower price materials, are their gross margin comparable, higher or lower?
Sid Rosenblatt: We’ve been able to maintain our gross margin on emitter over the past as I said four years and within the 70% to 80% range and as materials go down and as volumes will go up and material pricing goes down we do see efficiencies, so we believe we will be able to maintain margin profile for 2016 as we had in 2015.
Hendi Susanto: And then Sid when you stated that margin profile should be comparable in 2016 what is your assumption on host material sales in 2016 because the sales can move the needle one way versus another?
Sid Rosenblatt: We have very little host materials in our 2016 forecast.
Operator: And we'll go back to Jim Ricchiuti.
Jim Ricchiuti: It looks like looking at the last few years the revenue concentration in the second half of the year has been creeping up and it sounds like you're suggesting again more of a back end weighted here in for the second half what I'm curious about is, if you look into your large licensees the TV market do you see those revenues in Q1, why would we continue to see this scale up in the second half of the year?
Sid Rosenblatt: Well, it historically has occurred and I think from the TV side they do build their inventory for holidays and that's where the big push comes, so I think that's part of it and then what you'll see is them actually getting their manufacturing process up and running and build into some efficiencies so that they can make more and more product on those lines.
Jim Ricchiuti: So, if we think about '16 I guess in '15 you posted 53% or so of your revenues came in the back half and I'm not trying to [indiscernible] giving up guidance on that half, first half, second half but I'm just trying to get a sense of [indiscernible] should be a significant shift in that profile in'16?
Sid Rosenblatt: I don't see a significant shift I mean we can't pretty much probably see a gradual growth over the year.
Operator: And we'll go to a follow-up from Jed Dorsheimer.
Jed Dorsheimer: If I look at the Samsung licensing fee for '16 it looks like it's moving up 15 million versus previously 10 million per year should we think of that in the same way for '17 that it'll go that it would be again likely 15 million increase or how should we think about that?
Sid Rosenblatt: We only disclose one year at a time Jed, so I obviously can't answer that question.
Operator: We'll hear next from Nam Kim of Arete Research.
Nam Kim: I have one question on guidance you guided 15% growth and it's about 220 million this year, projecting incremental 15 million from Samsung and then I assume in additional 10 million at least from [indiscernible] now you're expecting only 5 million what's your stated growth it seems too conservative to me, earlier it was guided they are more than doubling their OLED TV kind of production so I'm curious on how you build your growth assumption, any color would be appreciated?
Sid Rosenblatt: The one thing that you have to look at is in 2015 we had $12.5 million of host material sales, and as we stated we do not really expect to see much host material sales so essentially you really should be starting from a base of 180 million not 191 million because we don't have any host sales or significant small amount in our guidance so there is going to be growth on the emitters and growth in the royalties and in the license fees.
Operator: And next we'll hear from Andrew Abrams of Supply Chain Market Research.
Andrew Abrams: Just one question specific to red, the function of new capacity would be pretty typically adding red and your red incremented a fair amount this -- in fourth quarter, was that a function of new capacity being added or was it a function of new red material replacing older red material?
Sid Rosenblatt: Well I think it’s a little bit of new materials replacing older materials but as we stated there's a number of different efficiencies that can be made and they have been using our green material in 2014 and recipe changes and product mix and all of those other variables do affect it. But you're right there was a significant increase in red this year compared to green.
Andrew Abrams: And also the work down of the LG prepayments, are you still on schedule for where you thought you would be at that point?
Sid Rosenblatt: Yes the deferred revenue number that's a really good question, our deferred revenue number represents only a portion of the amount of the royalties that we will earn. Well some of it has been drawn down. We do look at this every quarter. So the $10 million in the current deferred revenue only represents a small portion of the royalties that we expect over next 12 months.
Operator: And this will conclude our question-and-answer session. I’d like to turn the program back to Sid Rosenblatt for any additional or closing remarks.
Sid Rosenblatt: Thank you for your time today. We appreciate your interest and support and we look forward to speaking to you all again next quarter. Good night everyone.
Operator: This concludes today’s conference call. You may now disconnect.